Operator: Ladies and gentlemen, welcome to the Planet Fitness Q1 Quarterly Earnings Call. . My name is Grant, and I will be the operator for today's call. [Operator Instructions] I will now hand you over to your host, Stacey Caravella to begin. Stacey, please go ahead.
Stacey Caravella: Thank you, operator, and good morning, everyone. Speaking on today's call will be Planet Fitness Chief Executive Officer, Chris Rondeau; and Chief Financial Officer, Tom Fitzgerald. Also joining us is Edward Hymes, President and Chief Operating Officer. They will all be available for questions during the Q&A session following the prepared remarks. Today's call is being webcast live and recorded for replay. Before I turn the call over to Chris, I'd like to remind everyone that the language on forward-looking statements included in our earnings release also applies to our comments made during the call. Our release can be found on our website, investor.planetfitness.com, along with any reconciliation of non-GAAP financial measures mentioned on the call with their corresponding GAAP measures. Now, I'll turn the call over to Chris.
Chris Rondeau: Thank you, Stacey, and thank you, everyone, for joining us for the Planet Fitness Q1 earnings call. We have strong start to 2023 as we capitalize on the tailwinds behind the consumer focus on overall health and wellness. We believe we continue to be well-positioned to deliver disruptive growth with our high-quality affordable fitness experience. I'm going to cover two topics today. First, Q1's member growth and the resiliency of our model in an inflationary or possibly recessionary environment; and then I'll discuss our systems continued recovery from the impacts of COVID-19 pandemic and how it supports our long-term growth opportunity. Let me address our Q1 membership growth. Our strong momentum from the end of 2022 continued into the first quarter, driving membership to more than 18.1 million, a net increase of more than 1.1 million members. This Q1 was the first time in four years that an all-important first quarter of membership growth was not interrupted by COVID. We kicked off the year with our big fitness energy campaign that addresses the post-workout positive feeling. It featured our Low E Ads that continue to generate great consumer buzz. Prior to COVID, membership growth was the primary driver of our 53 straight quarters of positive same-store sales growth. In Q1, member growth continued to be the primary driver of the 9.9% system-wide same-store sales growth. Our membership growth demonstrates that our high-quality affordable fitness experience resonates now more than ever as Americans are seeing value and feeling the rising cost of everyday items while they continue to prioritize their health and wellness. Historically, we've seen that our model is resistant to inflationary and recessionary pressures. It is proving to be true again in this current environment validated by three key trends. The first trend is our diverse member growth. During the quarter, all age generations surpassed their pre-pandemic population penetration levels. Our strong value in judgment-free non-intimidating atmosphere also continue to drive people off the couch in Q1 as 40% of our new joins were first-time gym members. The second important trend is our rejoin rate. In Q1 about 30% of our new joins were previous members compared to about 20% in 2019. We believe this is a really good sign to have former members rejoining faster than they have historically, despite inflationary pressures and causing their income to not go as far. The third is our cancel rate, which again indexed below prior year's rate in the first quarter. This marked the seventh straight quarter of year-over-year cancel rate improvement. We're also seeing that our members are more committed to fitness than they were pre-pandemic with higher overall visits per member as all age groups are visiting more frequently than 2019. This is a good sign since nonuse is the number one reason why members cancel, so more usage should continue to bode well for our cancel rate. Now to our continued recovery post COVID and our long-term growth opportunity. We continue to see consistent momentum towards full recovery the longer our stores have been opened since the temporary COVID closures. At the end of Q1, more than 50% of our US stores that opened before 2019 are back to or above pre-pandemic membership levels. Additionally, almost 60% are at or above their pre-COVID revenue per store. Partly as a result of the price increases that we made last year. Pre-pandemic 50% of our full year net membership gains happened in the first quarter. So an uninterrupted Q1 was huge for the entire system, especially for those stores that opened during the past four years. They had yet to feel the benefit from what has historically been the highest net membership growth quarter. And most of the Black Card members of stores that opened this year and last year are paying a new Black Card price and the increased annual fee helping to further boost new store profitability. Our growth is fueled by the strength of our collective marketing efforts with our franchisees. We invested more than $0.25 billion last year to go after the 80% of Americans who do not currently belong to a gym. Our significant marketing spend enables us to attract someone at the right time when they are ready to start their health and wellness journey. More member growth means more dollars towards advertising funds. It's this flywheel that keeps us well-ahead of our competitors with our membership more than eight times greater than the next largest US high-value low-price brand and we have greater than 50% more stores than our next 17 low-price US competitors combined. Our app and broader digital platform are real differentiated versus the competition as well. To drive even more value to our members, we are leveraging our size and diversity of our member base to partner with our major brands like Shell, Verizon, Sam's Club, Chewy.com and Puma on purchase discounts. In March, the average redemption savings through the purchase program was more than $10, exceeding the cost of our monthly classic card membership. And while it's a small percent of our members today who engage with our perks offers, we will continue to partner with brands to offer more and better discounts to benefit more of our members. Our confidence in our 4,000-plus long-term store growth opportunity is strengthened by our systems recovery and our historical ability to achieve a greater penetration of each successive generation. We understand that fitness can be intimidating and we continue to be hyper focused on breaking down the barriers of all the ages. We want to be the fitness brand people think of first when they are ready to start their wellness journey regardless of their age. Generational trends are also fueling the confidence about the future. Gen Zs and Millennials continue to lead our joins with over 9% of each group now a member of Planet Fitness. And that's what the Gen Zs who are over the age of 15. We will continue to have Gen Z's age into our prospects member pool with Gen Alphas only a few years behind. To further strengthen our brand's appeal with Gen Zs earlier this week we announced the return of our high school summer pass program. We are excited to be able to run this program for the second consecutive year. It's largely similar to last year's including the seamless online registration process. We had more than 3.5 million team participants in the high school summer pass last year along with 2.3 million parents and guardians that signed them up. At the end of the first quarter, more than 600,000 teams and their parents or guardians had joined as paying members for a conversion rate of greater than 10%. We continue to outpace our 2019 conversion rate the last time we ran a similar program. Finally, we recently republished our 2022 environmental social and governance report, which demonstrates how we are delivering our purpose to create a more judgment-free planet where health and wellness is within reach of all. Looking to the future, I am confident that we will continue to be a differentiated and disruptive force in the health and wellness industry as we have been for over 30 years. We believe that affordable fitness is essential especially today as research continues to show the other benefits of working out to overall health and wellness besides weight loss. Our purpose of enhancing people's lives and creating a healthier world sets us our franchisees and our shareholders up for long-term success. I'll now turn the call over to Tom.
Tom Fitzgerald: Thanks Chris and good morning everyone. In the first quarter, we continued to demonstrate the positive attributes of our asset-light business model. We grew our members and store footprint despite inflationary headwinds that Chris discussed and we invested in near and longer term growth areas such as technology infrastructure and building out a small dedicated international team. Additionally, we continue to generate significant free cash flow and we repurchased $25 million of our shares. Subsequent to the quarter, we repurchased another $25 million bringing our total number of shares repurchased to date to approximately 625,000 bought at an average price of approximately $79.50. Now I'll cover our first quarter results. All of my comments regarding our quarter performance will be compared to Q1 of last year unless otherwise noted. We opened 36 new stores compared to 37 last year. We delivered same-store sales growth of 9.9% in the first quarter. Franchisee same-store sales grew 9.7% and our corporate store same-store sales increased 12.1%. As a reminder, same-store sales for the Sunshine Fitness franchise stores that we acquired in Q1 of last year were reflected for two-thirds of the quarter in the corporate store segment but we're in system-wide same-store sales for the entire quarter. Approximately 75% of our Q1 comp increase was driven by net member growth with the balance being rate growth. Black Card penetration was 62.0%, a decrease of 100 basis points. The decrease reflects that we had a highly successful January sale this year for our Classic Card compared to last year when our sale was negatively impacted by the Omicron strain as well as the impact from strong Gen Z member growth including high school summer pass participants. For the first quarter, total revenue was $222.2 million compared to $186.7 million. The increase was driven by revenue growth across the franchise and corporate-owned store segments partially offset by a decrease in the Equipment segment. The 15.7% increase in franchise segment revenue was primarily due to an increase in royalties and national ad fund revenue. The royalty increase was primarily driven by same-store sales growth, royalties on annual fees and new stores. Partially offsetting the increase was a decrease of approximately $900,000 as a result of the Sunshine stores moving out of the franchise segment. For the first quarter average royalty rate was 6.5% up from 6.4%. The 39% increase in revenue for corporate-owned store segment was primarily driven by the Sunshine Fitness transaction as well as same-store sales growth and new store openings. Equipment segment revenue decreased 22%. And while new store openings were in line year-over-year more of this year's openings had equipment placed in Q4 of last year leading to lower new store equipment sales. We completed 18 new store placements compared to 33. The decrease in revenue was partially offset by higher equipment sales to existing franchisee-owned stores. For the quarter, replacement equipment accounted for approximately 58% of total equipment revenue. Our cost of revenue which primarily relates to the cost of equipment sales to franchisee-owned stores amounted to $19.4 million compared to $22.4 million. Store operations expenses, which relate to our corporate-owned store segment increased to $66.0 million from $47.5 million. Primarily due to the additional stores from the Sunshine acquisition, which were only reflected as corporate stores for approximately half of Q1 last year.  SG&A for the quarter was $27.8 million compared to $30.8 million. This decrease was primarily the result of transaction fees incurred in higher expenses related to the Sunshine acquisition. National advertising fund expense was $17.0 million compared to $14.5 million. Net income was $24.8 million, adjusted net income was $36.4 million and adjusted net income per diluted share was $0.41. A reconciliation of adjusted net income to GAAP net income can be found in the earnings release. Adjusted EBITDA was $90.2 million and adjusted EBITDA margin was 40.6% compared to $76.7 million with adjusted EBITDA margin of 41.1%. A reconciliation of adjusted EBITDA to GAAP net income can also be found in the earnings release. Now by segment franchise adjusted EBITDA was $67.9 million and adjusted EBITDA margin was 73.2%. Corporate store adjusted EBITDA was $34.1 million and adjusted EBITDA margin was 32.2%. Equipment adjusted EBITDA was $5.6 million and adjusted EBITDA margin was 23.5%. Now turning to the balance sheet. As of March 31, 2023 we had total cash and cash equivalents of $523 million compared to $472.5 million on December 31, 2022 which included $62.6 million and $62.7 million of restricted cash respectively in each period. As I mentioned earlier, year-to-date through April we used $50 million to repurchase shares, which includes $25 million in Q1 and an additional $25 million in April. Total long-term debt excluding deferred financing costs was $2.0 billion as of March 31, 2023 and consisting of our four tranches of fixed-rate securitized debt that carries a blended interest rate of approximately 4.0%. We completed a refinancing and upsizing of a portion of our debt when we purchased Sunshine Fitness last February. At the end of Q1 last year, our leverage ratio was 6.2 times net debt to LTM adjusted EBITDA. With the increase in membership across our system and the growth of our highly profitable corporate store portfolio, our leverage ratio declined to 4.6 times at the end of Q4 last year. And at the end of the first quarter of 2023 it was down to 4.0 times. We expect our net debt to LTM adjusted EBITDA to continue to decrease for the remainder of the year. Finally, to our 2023 outlook. As a reminder, our view assumes there is no material resurgence of COVID or similar unforeseen dramatic circumstances that results in a significant change in membership behaviors or impact our supply chain. In our earnings press release, this morning we reiterated our growth targets for the year. I'd like to address our placement target for 2023. We'd continue to expect new equipment placements of approximately 160. As a reminder, these placements are only in franchise-owned locations. Our new stores for the year will include corporate-owned stores of which we expect to build a similar number to last year or approximately 15. Since we provided this target in February, we haven't seen any relief from headwinds that will likely keep franchisees from building ahead of their required obligations, including HVAC availability and elevated cost to build. The substantial increase in interest rates over the past year is also a headwind to new store growth. Given this we believe that 160 new equipment placements is likely the high end of what we expect to achieve this year. Everything considered in a somewhat difficult economic environment, we are encouraged by our member growth in the first quarter and the overall resiliency of our model demonstrated by our strong same-store sales and profit growth. We believe that the size and scale advantage of our brand will continue to deliver value to all of our member's, franchisees and other stakeholders. I'll now turn the call back to the operator to open it up for Q&A. 
Operator: Thank you. [Operator Instructions] We have our first question comes from Randy Konik from Jefferies. Randy, your line is now open.
Randy Konik: Yeah. Thanks a lot, and good morning, everyone. I guess first what I wanted to ask maybe Chris if you could just go back over some of the summer pass statistics that would be super helpful. And then I don't know if last year was everything digitized as it relates to the summer pass last year, or is it all kind of now digitized going into this year so that; a we get more -- probably more members signing up and their parents signing them up. And then second, continue to see higher conversion coming out of the summer pass later this year. Just want to get your perspective there.
Chris Rondeau: Yeah. Sure, Randy. Good morning. We digitized pretty much the exact same way it is this year it's just slightly different. But otherwise, it's very, very much the same. And I think that the benefit we have this year as opposed to last is as you probably remember the last time we did it was 2019, and then COVID hit. So this is the first time, we've done it consecutively. So what's going to be interesting now is the teams that didn't age out. So the seniors are gone now, but now the new freshman class has come in. So all of the other ages the four grades that are still in it that still have the app from last year. We still have the ability now to remarket to them either by e-mail or in-app messaging. So we already have a strong pipeline of leads, which we really didn't have last year because the last time, we ran it was 2019 three years later half of them are already gone. So and it wasn't digitized. So it will be interesting this year, year-after-year that we're able to remarket to them to grab some quick momentum in the sign-up process which is already underway and we kicks off our usage in the gym starting May 15. The other thing that's a little bit different this year we should actually help the problem -- the process even easier is the minor joint flow where the parent guardians were able to execute the parent guardian waiver or have them actually physically come into the store to do so. So that just makes it that much more seamless. 
Randy Konik: Super helpful. And then I guess Tom, I wanted to just jump off one of the final statements you made about the placements I think 160 at the high end. Can you give us some perspective of how we should be thinking about the range of outcomes around I guess unit openings for the balance of the year? Just trying to -- I think that's a question we get a lot from investors is how many units are they really going to open this year. I would just like to get some perspective on how you're thinking about that for the balance of the year would be super helpful. Thanks.
Tom Fitzgerald : Yeah. Sure thing, Randy. So I think some of the things that we've been talking about as I said a few minutes ago are still there. And certainly the interest rate sort of – the interest rates cumulatively have had an increasing impact on franchisees. So it's been a headwind. It's amazing to think here we sit SOFR is almost 5%. Last time I looked in a year ago, it was less than – it was less than 50 bps. So it's been a big move. And I think to that as we've talked to franchisees here about their development plans, we just see and I think we said this a little bit last time, the combination of all those factors that I mentioned have as to where franchisees are just really not building ahead of their schedules on new store development, where they did quite a bit of that in the past pre-COVID. So that's why we said we think the 160 outlook that we have is likely on the high end. So we still think our corporate store growth this year will be pretty close to last year roughly 14, 15, so that would take our total store openings, if you combine those two to approximately 175. And we'll – as the year goes on obviously, we'll have a firmer view of the franchisee store openings and our own corporate stores but that's the best we can call based on how we see it but we didn't want folks really thinking there might be upside to that because we don't see it much beyond the 160.
Randy Konik: And can I ask just to finalize and my last question to clarify. Is your – a thought on what the low end could be on 175 on the high end but just so we know kind of what the minimum might be on the low end? 
Tom Fitzgerald: Yes. No we feel the 160 number is the appropriate number. We really don't range that number. But that's our view has been our view and we're sticking to it. We just don't see the range going above that.
Randy Konik: Understood. Thanks so much. Thanks a lot, guys.
Tom Fitzgerald: Thank you, Randy.
Operator: Thank you. We have our next question comes from Simeon Siegel from BMO Capital Markets. Simeon, your line is now open.
Simeon Siegel: Thanks. Hey, everyone. Good morning. Nice job on the ongoing progress.
Tom Fitzgerald: Good morning, Simeon.
Simeon Siegel: So guys, given you keep setting new member records, just any help to how we should think about member growth trajectory next quarter and over the year? And then I'm sorry if I missed it. Did you say the slightly lower Black Card penetration was a function of more new members signing up at 10, or was it existing Black Card trading down? And then realistically, I think you're still nicely above pre-pandemic period penetration. So just any thought on where Black Card penetration looks for the rest of the year. Thanks.
Chris Rondeau: Sure, it's Chris. On the Black Card piece the – most of those two things that are really driving it. One is the real successful $10 sale we had in January this year. And last year's $10 sale actually at Omicron it was a little bit tampered down. The other big piece which is a good thing in a lot of ways is it's the younger Gen Z. So the high school summer pass teens, the great performance of them converting and joining the teenage high school teens, they joined a very low Black Card percentages. So, although the later Gen Zs called the 20 years plus to 25, those have a great Black Card percentages. So it's still younger generations that are joining because the high school summer pass that are bringing that number down. If you were to remove the high school age, it's upwards but pretty much over last year slightly. And then the growth – membership growth, we don't really comment on quarter-over-quarter membership growth but 60% of our net growth for the year is the first quarter. April, May tend to be decent months but it's tail end of the year really summer and the rest is more trending water time, the new stores does add some growth to it but mature stores really don't add a lot of members or any and that's the matter during the rest of the year.
Simeon Siegel: That is very helpful. Thanks, Chris. And then just congrats on having over 50% of clubs above the pre-pandemic memberships. Out of curiosity, why do you think the remainder don't. Do you think there's something post-pandemic structural? Do you think it's just a question of time? Just kind of thinking through from your perspective where you think that average settles in?
Chris Rondeau: Sure. I'll start and Tom will add to it. I'd say it's mostly just timing. It's different states were closed different periods of time. Different states had different restrictions, whether it's even though they're open for a while they actually had full distance and mask requirements for many months or a year later. So it's more just a timing coming out of it. And the more – the longer we go down the road and the time that goes by the more members they sell and the more clubs will fall into the good bucket. And the good thing with the Black Card increase last year, and now the annual fee that the revenue is as I mentioned, in my pre-recorded remarks is that is outpacing the membership, which is great news. 
Tom Fitzgerald: Yes. And Simeon, maybe -- it's Tom. Just to build on that I think consistent with what we've seen all along, the gap to -- on an average store basis for stores that were built prior to 2019, which is really what we're looking at here. The gap to their pre-COVID membership peak, has continued to narrow. And the stores that are above are not just generally above by a couple of percent they're above pretty good. So to Chris' point, we see it just as a matter of time. But if you look at, kind of almost sort of imagine a map of the country, the stores in the states that are not fully back or lagging, are ones where all of the COVID stuff was just more politicized. And I think that has had just a lingering effect. It's not that there's a new competitor in that area. It's more of just the trough was deeper. So the climb out of the trough is taking longer.
Simeon Siegel: Perfect. Thanks so much, guys. Best of luck for the rest of the year.
Tom Fitzgerald: Yes. Thanks, Simeon.
Operator: Thank you. We have our next question comes from Maksim Rakhlenko from Cowen. Max, your line is now open. 
Maksim Rakhlenko: Hi, guys. Thanks for taking my questions. So first can you speak to your franchise health? How are those conversations going? And then separately, just any updates on the situation with the franchisee that lost its exclusivity rights and if other franchisees have stepped up? 
Tom Fitzgerald: Hi, Max it's Tom. I'll start. I think maybe just to talk more broadly about things and we talked about interest rates here a little bit. But as I said, 5% today less than a point about a year ago that definitely has had an impact on some franchisees more than others. And I think, the main story here is the model is still very profitable. Many stores with membership and EFTs being at or above pre-COVID levels. We see this in our own stores. the margins are still pretty terrific because the flow-through is still the flow-through of $0.84 of every new member, dollar and dues that are coming in is dropping to the bottom line. I think the pressure on cash, if you will to invest is greater. Given that now, debt service is higher for some of the franchisees especially some of the PE-backed franchisees. Now, we haven't heard of and we see the financial information there. These aren't covenant issues. They're really more -- is there now enough cash to service the debt and then invest the CapEx that's needed in our system. And so, we don't disclose the level of debt in our system, but you probably get pretty close if you took the total number of stores assumed an AUV, you know what the four-wall margins generally are. Take a little bit off their G&A, for any given franchisee. And you'll get -- you'll have a sense of where our total system EBITDA would be, assume a level of leverage that's fairly modest and you end up with a pretty sizable level of debt. So at 4% higher interest rates now, generally, that -- and $3 million for a new store, you end up with a decent number of stores that are -- where the cash used to be there to fund it. That's why we say, they're probably -- we don't see folks being ahead of their obligation. So I know that's a bit of a long-winded answer. But I think here's what's really important. They know -- our franchisees know that, the first priority for CapEx is to take care of the existing stores. You have to reequip, you have to remodel. And if there's not enough money left over so to speak to fund new stores, then we're going to pull their ADAs. And at that point, the -- and we're talking more of the PE-backed ones here. At that point, they have a decision to make to put more money in to fund the new store growth, which will have value or lose their ADA and that will have an outsized impact on their value and their multiple, when they choose to exit because the pipeline will not be there. So we think that different PE firms may make different decisions. But at the end of the day, if we pull the ADAs we have still a waiting list of former franchisees, who want to get back in whether they're in the franchisee that we talked about last time, where it's definitely a different situation or in these cases, which we haven't found yet, but if they come up, they'll be able to buy the ADA, which is actually much more attractive to them because then they can develop the entire area. So we'll see how it plays out. As you may know we haven't sold a franchise in quite a while in the US, we don't think we need to necessarily sell it, because there's a list of folks who left the system try to invest in other things as they tell us and haven't found the returns. And again, the model is still good. It's just a question of, is the capital structure, and now with the higher interest rates, allowing them to have all the capital to invest and service the debt. And if they can't then they have a decision to make and so do we. So that's how we see it. And it -- we'll see how it plays out. But hopefully that helps provide a sort of a broader picture of how we see things.
Maksim Rakhlenko: No, Tom. That's incredibly helpful. Just quick -- go ahead.
Thomas Fitzgerald: No, sorry, I forgot your second question, Max. The franchisee that we talked about, our agreement with them is finalized. We're not disclosing the terms, but now we have contacted some of those franchisees who are on the waiting list as I mentioned to say, here are some of the territories that you can go explore, to find new store opportunities. And so, we're having those discussions and there's some -- there's a lag there. As we mentioned last time, they -- some may know the markets that are available, some may not. So they have to do some spade work there. But that is now -- the documents that we're waiting to sign are now signed, the agreements are finalized and we're moving forward with the plan.
Edward Hymes: Yes. This is Edward. I'd say that, also in addition to that, what Tom said, we've had signed an agreement. But given we're several months into the year we expect a new store development from that primarily to lead into 2024 and beyond. 
Maksim Rakhlenko: Got it, guys. That's very helpful. Tom, a quick follow-up to that and then I have another pretty quick separate question, but how likely are you at this point to reopen the franchise to former franchisees? Like is that something that you're really leaning towards, or do you think that there is potentially still enough interest from other franchisees that are currently in the system.
Thomas Fitzgerald: Probably both, Max. It depends on adjacencies and -- but I think -- there are a number of franchisees in our system who are pretty big, who, I'd say, manage with a much more modest capital structure. So they have more dry powder, more flexibility there. So they may be interested. So I think, as you know and we've had just a lot of interest from outside the system, inside the system, former franchisees. So we don't think it will be a question of interest. It's just a matter of timing and letting things play out.
Edward Hymes: I'd also add that, we're open on the international side as well.
Thomas Fitzgerald: Yes.
Maksim Rakhlenko: Yes. Okay. No, that's helpful. And then, just quickly, can you comment on how much the Halo partnership help contribute to member growth in 1Q? And then, are you now looking to replace that with something similar potentially in the connected fitness space?
Chris Rondeau: Yes. It didn't -- this March sale didn't quite perform as good as membership wise as the November sale did. So, I didn't say, it was a huge driver necessarily. But it was unfortunate how it turned out. Thankfully, we're pleased that Amazon has chosen to do the right thing I guess and make good and give everybody an $80 Amazon gift card for those who subscribe to it. So their Amazon Halos will all work until the end of July -- July 31. So will receive those gift cards to use it on their website. So it's a good news that they've made good for the customer. And we've also done the right thing, where it was a commitment membership. We're going to waive the commitment for these members so that, come July if they so choose that it's -- they're not pleased with the outcome, then they're not tied into a contract for 12 months. So it's the right thing to do for the customer and that's the direction we're taking there. But we don't see -- we don't generally feel a huge impact here. And as far as your question -- 
Maksim Rakhlenko: Got it. Okay.
Chris Rondeau:  -- starts to team up with another one. There's always opportunistic if things come along and it seems like it makes sense, but not running towards the next option though.
Maksim Rakhlenko: Got it. Okay, guys. Thanks a lot. Best regards.
Chris Rondeau: Sure, Max. Thank you.
Thomas Fitzgerald: Thanks, Max.
Operator: Thank you. Our next question comes from Chris O'Cull from Stifel. Chris, your line is now open.
Chris O'Cull: Thanks. Tom, first I had a follow-up question to an earlier one. I know you deferred the majority of the development obligations for that one large franchisee. But have you needed to do that for any other groups?
Chris Rondeau: No. We have not rewritten area development agreements to restage them for anyone else.
Chris O'Cull: Okay. Perfect. And then I had a question about the equipment, the guidance that the equipment placements will likely be I think you said towards the lower end of the 160 units this year. I'm just curious, does this affect the company's goal of averaging 200 annual unit openings over the next three years?
Tom Fitzgerald: Yeah, Chris just to -- I may have misheard you, but the 160 million what we're saying is the high -- we don't -- we see that as the high end of the range that -- not the low end of the range. But I think as we sit here today, we talked -- I may have talked about this last time as I mentioned combined with new stores for corporate which we think will be pretty close to last year 14, 15, that gets us to about 175 new stores this year. So 25% off the straight average if you will. And I think at Investor Day, we said we didn't see ourselves, back in November, we didn't see ourselves hitting the 200 this year which was reflected in our outlook, so we're really not that far off from where we thought we would be in the grand scheme of the three-year view and I think. So we still feel good about that outlook as we sit here today to add approximately 600 over the next three years through 2025. 
Chris O'Cull: Okay. Perfect. And then just one last one. The equipment margin and company store margin were both down quite a bit year-over-year. Can you just give a little bit of explanation for the year-over-year change? 
Tom Fitzgerald: Yeah. Sure thanks, Chris. So the equipment margin last year we had a big a pretty sizable rebate from our primary manufacturer and our contract year runs midyear to midyear. So it's all -- once we break through a price tier, the rebate is on all the equipment we've purchased since July 1. So it ends up being a fairly sizable number that gets reflected. And we didn't hit that tier here this year. So that's it on the -- on the equipment side sorry. On the corporate sales side, I'd say a couple of things. One is we had Sunshine in last year as you know for the back half of the quarter. So the higher local marketing spend that we do in our corporate clubs and our franchisees do in January was not reflected in that margin last year and it ends up being a pretty important impact and there was that's the primary around that. The secondary is the timing of our April sale this year started at the end of March. So it caused some of the expenses from that sale to hit in Q1 this year where that wasn't the case last year. So the long and short of it is marketing but there's two components of it there Chris. 
Chris O'Cull: Okay. Any color you can provide in terms of what we should expect going forward? I mean should it be fairly comparable year-over-year going forward, or are there any other... 
Tom Fitzgerald: Yeah. We really don't provide that kind of outlook. But I think if you spool it all up across the segments to what we were guiding and in terms of top line growth and adjusted EBITDA growth, I think we end up in a pretty good place but we don't provide that kind of detail on our outlook.
Chris O'Cull: Fair enough. Thanks guys.
Tom Fitzgerald: Okay. Thank you, Chris.
Chris Rondeau: Thank you very much.
Operator: Thank you. We have our next question comes from Jonathan Komp from Baird. Jonathan, your line is now open.
Jonathan Komp: Yeah. Hi. Thank you. Good morning. Just maybe a bit of a follow-up Tom, can you give any more color as you look at the openings throughout 2023 here any thoughts on weighting of openings Q2 in the back half? And then just, how much visibility do you have based on agreements or LOIs in place today for the -- to get to the 160 on the franchise placement side?
Tom Fitzgerald: Yeah, hi, John. So I think not atypically our openings will be back-end loaded. So probably closer to the historical spread across the quarters there plus or minus. And we really don't provide the specifics on the stages of our pipeline. But obviously, that goes into all of our internal discussions and franchisee discussions to ultimately get to where we got to which is to affirm the 160, but to say it's likely the high end of the range. 
Jonathan Komp: Okay. And maybe I'll just one follow-up not to be too specific, but just so we don't end up mismodeling a quarter again but I think you had 29 new openings on the franchise side last year. Is that would you expect to be kind of near or a little below that this year for Q2 and then more back-weighting. I'm just trying to clarify your comments around the weighting. 
Tom Fitzgerald: Yes, I think we'll probably be closer to that number in Q2.
Jonathan Komp: Okay, great. That's really helpful. And then maybe Chris I'd love to hear your thoughts just broader question around since the last quarterly update we've seen some more rules from the FTC around potential subscription rule changes that are coming for the whole industry in any subscription business. But any thoughts just on how Planet is viewing those potential changes? And any reaction that you'd have for the business?
Chris Rondeau: Sure John. Yes, I'd say on the click to cancel fees we have it now running in several states and one California has now been in place surging before COVID believe it or not. So, and as we remarked in the past we do see an initial couple, two, three handful of months increase in cancels but then it level sets to a normal state that doesn't happen. So, the good news is it doesn't seem to really be an effect right now. So most recent state would be Tennessee I think it is. So, we're still monitoring that one. That one started December 31 or 28 or something like that. So that is still too early to tell but I would still flushing out. But we haven't seen a big impact there. And I think one twist thing to the click to cancel. I think Planet generally has had one of the easiest cancellation policies in the country seven-day notice and you are out. And very few members -- we have very, very few of our members leave around commitment. So, if you want to cancel you just walk in the door sends a letter and you're out with the seven days' notice. So, that's always good. And I think that leads bodes well for our rejoin rate right? The high rejoin rates it's 30% higher than it was pre-COVID. So, I think easy in easy out especially for a first-time customer that's one of the things they're thinking about the first. Forget about the price they want to know how to get out of the thing. I think on the auto renewal piece that one there is still too early to figure out how they're going to work at the specificity regarding whether or how it applies. Some they say it's around only memberships on commitment is it every year? Is it it's just a lot of there going on. So, it's hard to really comment on how that one will turn out or play out if it happens. 
Jonathan Komp: Great. That’s helpful. Thanks for the color.
Chris Rondeau: Thanks Jon.
Tom Fitzgerald: Thanks Jon.
Operator: Thank you. We have our next question comes from Rahul Krotthapalli from JPMorgan. Rahul, your line is now open.
Rahul Krotthapalli: Hey guys. Thanks for taking my question. Chris you talked about lower cancellation rates for the seventh straight quarter. Can you just discuss like the value of your Perks program and how the ramping perks is improving the retention rates for the for your current members? And going forward like do you have a good plan to kind of monetize this like the data like how this membership data is captured in your current platform?
Chris Rondeau: Sure yes. I'd say the only thing we can see right now it's still two fewer members to really see if it what's leveraging the lower cancellations right now. But of the ones that are using it we still see the same thing we commented last time is 25% of the redemptions are from members that haven't used the club in over 90 days. So, that's the good news because our hypothesis is that we can provide value outside the four walls and whether you're using the store or not a little bit like AAA we say you are not used to getting towed at least you're getting discounted hotels. So, if we're providing discounts outside the four walls hopefully people tend to keep the membership because they'll get discounts on other things. And when they're ready to use the club they come back. So, that's the one thing. And then more recent months of March as I mentioned on my call is the more recent redemption people that used it was over $10 which is Classic membership we just gave a month of membership. So, that's our goal. And I think the bigger we get and the more data we capture the better and more partners that we're attractive at this point as you've seen two or three years ago we had very, very few and now we have quite a few -- down the door. So, I think as the discounts get better and as we have more variety it can only help the situation. So, I think more to come but it's good to see the trends we're seeing. I think the only thing I'd say with the cancellation rate right now as I mentioned is that the in my prepared remarks is that people are working out more. And ever since COVID has started to wean away here and people getting back to normal life, people that are working out are working out more than they had pre-COVID. So, that has to be helping the retention piece probably more than anything at this point.
Rahul Krotthapalli: That’s helpful. Thank you.
Chris Rondeau: You’re welcome.
Operator: Thank you. We have our next question comes from John Heinbockel from Guggenheim Partners. John, your line is now open.
John Heinbockel: Hey guys. So Chris, I want to start with the Perks, right? So philosophically, how are you attacking that in terms of how many offers you want to put on there doing it seasonally, right? Because some of this does appear to have a time component to it. You have a couple that are there for Black Card only. Do you do more of that to try to get people to upgrade to the Black Card, so what's the philosophy on that? Do you think -- is that -- if we're going to get to a 65% or 67% penetration rate, is tiered perks going to be the primary way we get there as opposed to reciprocity?
Chris Rondeau: No. I think reciprocity will probably always be the primary driver from what we've seen historically. And every couple of years, we open up the 400 stores or so. So, we're in a market with three stores and now you're in a market in the 15 stores. I mean that's -- that value is intense. So that definitely has been the driver over the years. But that doesn't mean that we continue to capture data, what perks drive, what generation interest. As I mentioned Crocs [ph] is a great one. The Shell gas is a great one. The Free Phone with Verizon has been a great one. So, as we continue to find out what is really the hot buttons that get people that attracts the discounts and attract their attention is the ones we'll constantly refine and get better at it. And it will be interesting as we grow and as we capture data and as we have Perks competitors, I guess, if you will, does T-Mobile coming in and want a piece and out do a better discount than Verizon. And time will tell, but I think that's what we'll continue to give more value to the member. But I believe strongly that if we can get people to start getting discounts in other products that they're -- everyday items, right? That they are feeling especially in today's world where inflationary issues are out there and people wealth can go as far and where their partner in the club and out of club for many reasons. I think, you can only help it. It's just providing more value to the member and help drive the business. And the other side of it I think as time goes, as we're actually starting to get more in the pay-to-play world here. Now, we have some data to prove that we're driving. So more to come on that, but I think that will be another endeavor going down, as large as these member base grows and the data we capture to help sell the opportunity.
John Heinbockel: And maybe for Tom, right? If you think about sort of corporate profitability, I think you touched on it a little bit. So, there is a seasonal aspect to that because of promotional spend, it sounds like it's pretty meaningful. Is that correct? And then when you think about on a go-forward basis, right, because there's -- labor cost is higher, although it's not labor intense, but cost to operate probably is a little higher than inflating than it used to be. Is there still an idea of profitability in that -- profit margins in that segment can improve over time and legacy can get to Sunshine levels? Is that still fair, right, on a go-forward basis? 
Tom Fitzgerald: John, that's a yes and a no. So I think the yes part of that is, they will continue to improve over time. And I think -- and certainly across this year, I think we are often benchmarking back to 2019. And I think we feel -- we'll feel good about the progress we make in our corporate store margins and our overall margins back to those levels, well it's very different. To your point with wages have gone up and so on and so forth. I don't -- we don't and have never said that we see that the gap between Sunshine stores that we have acquired their margin and the margin of our legacy stores would close. We thought there's a way to bring some of those that are best practices which we're clearly seeing from the Sunshine team that is now part of our team, particularly in marketing and operations and some of those practices that led Sunshine to be among the top three same-store sales drivers in our system prior to COVID. Those have definitely helped in why you see some of the outsized performance in corporate store, same-store sales, where versus the system where historically that was the opposite. But I think John the structural differences between the markets, where the legacy markets are mostly in the Northeast and the Sunshine markets are mostly in the Southeast wages per hour are structurally different. Rents per foot generally are structurally different like-for-like centers in terms of traffic and quality. So improvement for sure accelerated improvement versus had we not made the acquisition, but closing the gap we've never thought that that would be the case. 
John Heinbockel: Okay. Thank you very much.
Tom Fitzgerald: You bet.
Operator: Thank you. We have our next question comes from Warren Cheng from Evercore ISI. Warren, your line is open.
Warren Cheng : Hey, good morning. I just have a follow-up to the last couple of questions on Perks. So you've given some numbers in last year around both your Shell gasoline and your cross partnerships. And if I'm doing the math right, it implies the engagement levels still sort of in that very low single-digit range. So first can you give us some benchmarking or range of what percentage of your member base knows about and it's taking advantage of Perks today? And second has that changed in the last year? So have things like the new app or some of these new partnerships you've engaged in the last couple of years has this moved the needle? 
Chris Rondeau: Yes. So we haven't disclosed the percentage of members that are using it, but it definitely has gone up as well as the people who have the app in general. Today, we're about 80% of our members have the app and the new member app adoption is about almost 90% at this point. So what it comes down to is the more members that have it in their hands and they're checking into the club more time they see the perks. And I think it really comes down to the engagement with thing is education that they know what's there why it's there and what -- how it works as well as app adoption so they get their eyeballs on it. So it's more of an education process I think than anything. The figure -- the Perks really just sort of ramping up probably a year ago maybe 1.5 years ago. So we came out of COVID with 13.5 million members at the end of 2020. Most of them -- so if you think of that 13.5 we didn't really have it. So it's reeducation of the opportunity that's there. So the new members are easy, because we can tell them point of sale that we have this opportunity for them to save money. So it's really just the learnings, I think is what's going to drive more adoption of using it and engagement. So that's what we continue to focus on. 
Warren Cheng : Great. Thanks. And can you remind us the sort of the financial mechanics of some of these partnerships? Are there different models? What's the flow-through view, or is this more of a -- are some of these more focused on the marketing side?
Chris Rondeau: Yes, they're all a little different. But generally, they're a discount off their everyday price for the most part. And there are some to John Heinbockel's earlier question. There are some that are strictly Black Card. Some are -- Black Cards get a bigger discount than Classic Card memberships and some are just the same regardless of both. But I think you'll see more of that differentiation in the months and years ahead. 
Warren Cheng : Great. Thank you. Good luck.
Chris Rondeau: Thank you.
Operator: Thank you. We have our next question comes from Joe Altobello from Raymond James. Joe, your line is now open.
Joe Altobello : Thanks. Hey, guys. Good morning.
Chris Rondeau: Good morning.
Joe Altobello : Just wanted to quickly go back to the placement number. There's obviously a seasonal sequential step down in placements from Q4 to Q1. But -- why was it so pronounced this year? And I guess what drove that pull forward and that shift in timing this time around? 
Tom Fitzgerald: Yes. Joe, it's Tom. I'll start that. So I think we historically have a number of stores that just due to timing or permitting or what have you that the franchisee and us thought would open at the end of December but, spill over into January. And they generally get the equipment placed there may just be some hang up to why they can't open. So, the placement there is recognized in the fourth quarter in that case but the store opens in Q1. And we typically have a certain number of those stores every year it's plus or minus a little bit. This past year it was just a much bigger number. And I think part of that was some of the supply chain delays that push openings further and further, whether that was the Shanghai shutdowns and what have you. So that's why it was such a sort of an outsized number this year in terms of that carryover between placements and -- or gap really between placements and openings that spill into this year. So we're predicting that would be more normalized back to historical levels here this year at the end of the year. So, it was just -- but that number definitely creates that gap that you're sort of seeing in Q1 and not so much a factor for the subsequent quarters until we get to the big Q4 again and hopefully there are no more supply chain disruptions or anything that causes that to be different than what we've seen historically.
Joe Altobello: Okay. And just a follow-up on that, I'm trying to put the 1.1 million net new members in the context. I'm curious, how it compares to your expectations given that you were adding a similar number and sometimes even a larger number pre-COVID on a smaller base? Are you guys hoping for something better I guess, is what I'm asking in the quarter.
Tom Fitzgerald: Yeah. I think Joe maybe I'll start that one. I think we don't really get into the quarterly view of our business. And I think what I would say is, the same-store sales growth continues to be 75% member growth. We affirmed our same-store sales outlook of high-single digits. So that may tell you that we're tracking to where we thought, but we don't really get into what our quarterly expectation was on actual member growth. It's sort of reflected in our same-store sales number that we talk about for the full year.
Joe Altobello: Okay.
Tom Fitzgerald: I hope that it helps.
Joe Altobello: All right. Thank you. Yeah, it is. Thank you.
Tom Fitzgerald: Yeah.
Operator: Thank you. We have our next question coming from Sharon Zackfia from William Blair. Sharon, your line is now open.
Sharon Zackfia: Hi. Good morning.
Tom Fitzgerald: Good morning, Sharon.
Sharon Zackfia: We on the outside have a really hard time kind of projecting equipment revenue. So in the second quarter specifically are you expecting that to grow year-over-year? I think some color there would be helpful. And then, secondarily, as the membership skews younger, can you talk about any changes you're doing within the club is whether it's the kind of equipment the clubs are going to have or change to or anything else that needs to happen in the clubs to appeal to that kind of younger demographic.
Chris Rondeau: Sure. Fair enough. This is great. That was the equipment side of things. I would say a trend we've seen and I think it is driving not wholly, but partially because of the younger generation is more focused on functional training and weight training circuit training as well as opposed to the cardiovascular component of the clubs. So we've actually just started in the last probably four or five months retooling new builds and remodels to slim down the cardio slightly. So if a club had 120 pieces it probably has a 100 now and designates more of that square footage to weight and functional training areas. We did a study beginning last year I think it was that when we looked at club member visits compared to minutes on cardio. And the minutes on cardio were down about 17% to 20%. Although, treadmills remained pretty similar, but it was all the other cardio came down. So -- but the visits of -- the store visits were the same. So they're on the floor themselves working out with weights and functional training. We've seen areas grow in our stores which is good. And it's a little less expensive than cardio and power and everything else that runs them. So that's the only thing we've seen really in the club that has changed. Frequency wise is up overall generation. So it's not that it's younger generation that's working out more than the boomers for example actually I think, the boomers work out slightly more believe it or not. So it's -- so nothing else it's more the equipment change, I think in the club is what has changed.
Tom Fitzgerald: Yeah. And Sharon back to your question on timing. And I think a little bit of what I was saying to Joe's question there, the Q4 to Q1 piece is a little trickier and was more outsized or exacerbated this year for the supply chain reasons. I think for Q2 of this year, and we normally don't provide this kind of view but I get the difficulty. I think if folks thought about our placements for Q2 to be roughly flat to up very slightly you wouldn't be too far off.
Sharon Zackfia: Thank you.
Tom Fitzgerald: Okay.
Operator: Thank you. Our next question comes from Alex Perry from Bank of America. Alex, your line is now open.
Alex Perry: Hi. Thanks for taking my questions. I just wanted to ask about any change to the international strategy especially, now that you're investing in a dedicated team. Does that mean you're planning on sort of accelerating international growth? And what would be the timing of opening of new markets? Thanks.
Edward Hymes: Yes. Thanks for the question. This is Edward. Actually, we're really just getting started on the international growth plans. I mean, obviously, we have a presence in several countries in Canada, Australia and Mexico, Panama. And in 2022 we also announced that we signed an agreement to expand into New Zealand as well. With regards to strategy in the past it was more of a reactive approach meaning if someone contacted us said they wanted to open up in a certain market, we would consider it. I think today we're in the process of actually building out a designated team to really focus on accelerating our growth outside of the US. And once that team is built out we expect the international growth to really gradually make up a bigger portion of our annual new storage expansion. We've said this before, but the US has the highest level of gym membership penetration in the world. And there hasn't really been an international market that we have entered in that we haven't actually been successful in. So it's -- we've been really pleased with how our judgment-free environment and our affordable membership model really has been resonating in our global markets. And actually in terms of access in Mexico, for example, membership penetration rate is really low maybe around 33%. So people want to work out. They just might not have the access to the gym that's affordable. And so we provide that and we're going after that market. And we'll continue to grow outside of our existing markets as well. I think when we're looking at forecasting we're not -- we don't really forecast we're not going to provide the details to where we're moving to. But Europe is interesting. There's already incumbents in that space in the each – ULT space. But really, I think, we have a differentiator and just like we do here in the US in terms of have that judgment free environment. And I think our low price definition is a good one when comparing it to those competitors there. And then Asia also doesn't have actually a significant incumbent competitors so it's a new opportunity that we're also looking at. 
Alex Perry: Perfect. That's incredibly helpful. And then I just wanted to ask, is there anything you're doing different this year with high school summer pass that you think could be the better membership conversion post the program so the 10% I thought was pretty impressive that you've done from last year, but anything you're planning on doing different this year to maybe even improve that conversation rate? Thanks.
Chris Rondeau: Yes. I think one thing I'd say first would be the data we've captured this past year on when there -- I guess, the peaks and values of when they're tending to join as maybe paying members. So that's when we'll be focusing on targeting the most with the offers and incentives to hop on board. And I think the other one there is the fact that when they do join that the parent doesn't have to come in with them again to sign them up for their paying membership. So that should be a good plus for us this year which we didn't have until end of last year. And actually as the program winds down as we begin to see the ramp come up of paying members actually as you expect just September is a good month for us. 
Alex Perry: Perfect. That’s helpful. Best of luck going forward.
Chris Rondeau: Great. Thanks.
Edward Hymes: Thanks, Alex.
Operator: Thank you, Alex. We have no further questions on the line. 
Chris Rondeau: Thank you, operator. Once again thank you for dialing in. I appreciate you getting on the phone today and listen to the Q1 earnings call. And although, you've heard some headwinds from the increased cost of construction and interest rates, I think, the most important thing to me and focus I have is that the fact that the member growth is we're at that to continue to join and the resiliency of the brand and the model going through this economic climate and with an increased annual fee Black Card pricing -- the better performance on cancellations and the rejoins are higher than the past. I think, it's all good trends and that's the most important trend right is that the members are loving us and continue to work out and work out more. So that's all great news. And as that sustains that should overcome any kind of inflation and interest that we have to deal with over time. So thanks everyone. Have a good day. 
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your line.